Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the High Liner Foods Incorporated Conference Call for the Results of the Second Quarter of 2015. [Operator Instructions] Following management’s prepared remarks, we will conduct a question-and-answer session. [Operator Instructions] This conference call is being recorded today, Wednesday, August 5, 2015 at 2 PM Eastern Time for replay purposes. I would now like to turn the call over to Heather Keeler-Hurshman, Director of Investor Relations for High Liner Foods. Ms. Keeler-Hurshman. Please go ahead.
Heather Keeler-Hurshman: Thank you and good afternoon everyone. Thank you for joining High Liner Foods conference call to discuss our financial results for the second quarter of 2015. On the call today from High Liner Foods are Keith Decker, President and Chief Executive Officer; and Paul Jewer, Executive Vice President and Chief Financial Officer. Today’s call will start with Paul reviewing the company’s financial performance for the second quarter of 2015 followed by Keith, who will discuss key developments in the quarter and provide an update on our 2015 strategic goals, before opening the call up for questions. Before turning the call over to management, listeners are reminded that certain statements made in today’s call may be forward-looking statements that are subject to risks and uncertainties. Management may use forward-looking statements as they discuss the company’s strategy and business in the future. Actual operating or financial results could differ materially from those anticipated in these forward-looking statements. High Liner Foods includes a thorough discussion of the risk factors that can cause its anticipated outcomes to differ from actual outcomes and its publicly available disclosure documents, particularly in its annual MD&A and annual information forms. Please note that High Liner Foods is under no obligation to update any forward-looking statements discussed today. Earlier today, High Liner Foods reported its financial results for the second quarter of 2015. That news release along with the company’s MD&A and unaudited condensed interim consolidated financial statements for the second quarter of 2015 have been filed on SEDAR and can also be found in the investor information section of High Liner Foods' website. If you would like to receive our news releases in the future, please visit the company's website to register. Lastly, please note that the company reports its financial information in U.S. dollars and the results to be discussed today are stated in U.S. dollars unless otherwise noted. High Liner Foods common shares trade on the Toronto Stock Exchange and are quoted in Canadian dollars. I will now turn the call over to Paul. Paul, please go ahead.
Paul Jewer: Thank you, Heather, and good afternoon everyone. Before beginning my financial review of the second quarter, I'd like to remind listeners that we use certain non-IFRS measures and ratios, when discussing our results, as we believe these are useful in assessing the company’s financial performance. These measures are fully described and reconciled to IFRS measures in our MD&A. Please note that all comparisons provided during my financial review of the second quarter of 2015, are relative to the second quarter of 2014, unless otherwise noted. I’d also want to remind listeners that we acquired Atlantic Trading Company in October 2014 and therefore the comparative results do not include the impact of this acquisition. Sales volume decreased in the second quarter of 2015 by £6.4 million, or 9.5%, to £61.3 million. Volumes declined by £2.1 million in Canada and by £4.3 million in the U.S., reflecting that in the U.S. the impact of the Atlantic Trading acquisition only serve to partially offset declines experienced in the rest of our U.S. business. Over the last year, significant price increases have been passed on to consumers to recover increased raw material costs, including higher foreign exchange in our Canadian business. And these price increases have in turn had an adverse effect on sales volume in both retail and food service. We also believe that in certain areas of our business, volume declines were partially as a result of some sales execution and promotion challenges, which Keith will discuss further in a few minutes. Sales in the U.S. dollars decreased in the second quarter by $9.2 million, or 3.9%, to $226.3 million. The weaker Canadian dollar in 2015 decreased the value of reported sales in the quarter by approximately $8.6 million relative to the conversion in the same period last year. In domestic currency, which is before the impact of converting Canadian dollar denominated sales to U.S. dollars, sales decreased by $0.8 million, or 0.3%, to $241.8 million, reflecting lower overall sales volume, partially offset by the impact of price increases in both countries. Gross profit decreased in the second quarter by $5 million to $43.2 million reflecting lower overall sales volume, the effect of an unfavourable change in the exchange rate used to translate our Canadian dollar-denominated operations to U.S. dollars and a decrease in gross profit as a percentage of sales. Gross profit as a percentage of sales was 19.1%, compared to 20.5% last year, reflecting price increases that did not fully recover cost increases in the U.S. and gross margins on Atlantic Trading sales are lower than the overall average margin on the remainder of the Company's sales. Adjusted EBITDA decreased in the second quarter by $4 million, or 24.0%, to $12.7 million and was 5.6% of sales compared to 7.1% last year. $900,000 of this decrease reflects the unfavorable impact of converting our Canadian dollar denominated operations to U.S. dollars, due to the weaker Canadian dollar in 2015. The remaining decrease reflects lower overall sales volume and lower gross profit as a percentage of sales, partially offset by lower distribution costs and lower SG&A spending. Distribution costs were lower as a result of lower sales volume and SG&A spending was lower due to the impact of synergies related to the integration of American Pride and other savings in the U.S., along with the timing of spending in Canadian business. Reported net income decreased in the second quarter by $1.2 million, or 23.1%, to $4 million with diluted earnings per share of $0.13. This decrease primarily reflects lower adjusted EBITDA, as I just discussed, partially offset by lower one-time cost and the income tax expense. Excluding the impact of one-time costs and other certain items, which are explained in our MD&A, adjusted net income decreased in the second quarter by $2.8 million, or 37.3%, to $4.7 million, and correspondingly adjusted diluted earnings per share increased by $0.09 to $0.15. Turning now to the balance sheet. The net working capital balance was $257 million at the end of the second quarter, this was $13.4 million higher than it was a year ago, due to the impact of the Atlantic Trading acquisition along with the impact of higher inventories related to the remainder of the Company’s operations. Net interest bearing debt was $348.2 million at the end of the second quarter, which was $14.6 million higher than the balance at the end of the same period last year. This increase reflects the use of debt last October to finance the Atlantic Trading acquisition and $5.7 million payment made to close operating leases relating to the American Pride business in Q4, partially offset by cash flow generated from operating activities. Our net interest-bearing debt to Adjusted EBITDA ratio calculated on a rolling 12-month basis, decreased to 4.2 times at the end of the second quarter. This was an improvement compared to 4.4 times at the end of fiscal 2014, but it increased from the four times that was reported at the end of the first quarter this year. We expect this ratio to improve during the remainder of 2015 as adjusted EBITDA is expected to increase and free cash flow will be used to reduce debt. That concludes my financial review for the second quarter of 2015. And I would now like to turn the call over the Keith to discuss key developments in the quarter and provide an update on our 2015 strategic goals.
Keith Decker: Thank you, Paul, and good afternoon everyone. The results for the second quarter did not meet our expectations. As Paul shared, sales volume declines are due in part to the impact that increased pricing has had on demand for our products. As most of you are aware, the cost of certain key species increased significantly during 2013 and 2014. Seafood is purchased in U.S. dollars. And as a result, raw material price increases have been even more acute for our Canadian business due to the weak Canadian dollar. While price increases have been necessary to help mitigate the impact of increased cost on product margins, they have adversely impacted volumes. In addition to the impact of higher prices, certain sales and promotional activities were not executed effectively and contributed to volume declines in certain areas of our business, particularly U.S. foodservice. We have taken corrective action and experience improved sales toward the end of the second quarter. We are focused on continuing to improve sales volume in the remainder of 2015, which should in turn lead to improved earnings. Efforts to increase volumes will be assisted to the extent we realized expected lower seafood raw material prices in the back half of 2015. The second quarter was a difficult quarter. But we remain committed to the strategic goals previously shared with you being supply chain optimization, profitable growth through organic growth and acquisitions and succession planning. I’m confident, we are focusing on the right activities to drive performance and that continued focus on these will move the organization closer toward this goal to be the leading frozen seafood supplier in North America. Our strategic goal to optimize our supply chain continues to be a top priority for the organization. Activities related to this goal continued during the second quarter, however, reduced production volumes were a challenge and delayed realization of savings related to certain project activities. Improvement in sales volume, in the second half of 2015, will help to achieve benefits related to our supply chain optimization activities and we continue to expect net cost savings will be realized in 2015 related to this project and that total annual cost savings of $20 million to $25 million can be achieved by the end of 2016. By way of update on product development, we are continuing to ramp up the launch of our fully cooked Barbecue Salmon line that was launched at the Boston Seafood Show in March. Our next line of products will launch in late 2015 and then consistently throughout the next year with product offerings that focused on convenience and target for various market segments, including the growing fast casual restaurant sector. We do not have a specific update related to acquisitions, but continue to believe there is opportunity for further consolidation in the North American seafood industry. Before opening the call up for questions, I’d like to share with you that earlier today, the Company’s Board of Directors approved a quarterly dividend of CAD$0.12 per share on the Company's common shares payable on September 15, 2015 to holders of record on September 1, 2015. Operator, I would now open the call for questions. Thank you.
Operator: [Operator Instructions] The first question is from George Doumet from Scotiabank.
George Doumet: Hi, good afternoon guys.
Keith Decker: Hello, George. Good afternoon.
Paul Jewer: Hi, George.
George Doumet: Can you just quantify the magnitude of the sales execution and promotional challenges you’ve had in the quarter, please?
Keith Decker: In terms of the overall, you’ve seen the overall sales impact in terms of volume and that is a mix of what we believe is a customer reaction to the significant increases in prices that we’ve had to pass on over the course of the last 12 to 18 months. We have seen a decline in demand there. But – and we talked about this is the end of our first quarter. We exhibit the first quarter with some challenges in terms of sales trends. Those continued obviously into the beginning of the second quarter. As we said, they were exasperated by some challenges we had on the sales and promotional front. We promoted, trying to – coming out of blunt, trying to guide some volume, those promotions were not effective. And the sales only started to recover as we got closer to the end of the second quarter. So I can’t really breakout specifically how much is price versus how much is sales execution. Frankly, we’re focused on addressing both of those items to get some sales volume increases back into the business in the back half of the year and comfortable that we can do that based on the results we see coming out of the – at the end of the second quarter.
George Doumet: Okay. And gross margins declined for the U.S. business, I think, it was north of 300 basis points. So what are the lowest levels you see in awhile obviously in an environment where we’re raising prices? Can you guys provide any color in terms of margin recovery and what’s its contingent on in the back half of the year?
Keith Decker: Yes, sure, so there were a couple of pieces to the margin decline. One which will – in terms of margin percentage one which will continue into the back half of the year, which is the ATC acquisition is a little dilutive to margins, given the nature of those products versus the other higher margin value added products that we have in our portfolio. The second piece is tied to sales volume. When you’re promoting to get sales and spending sales, promotional, and allowance dollars to do that and you don’t get the volume, obviously that is dilutive to margin. We experienced that in the first half of the quarter. We’re confident that we will see that improve in the back half of 2015. The fact that we passed on prices to cover cost increases have not been able to do it entirely. But even when you passed on price to cover cost increases that is actually slightly dilutive to volume just from a mathematical perspective and as a result we’ve experienced that. And the last item I would highlight is we do have some mix shift in the business in the second quarter where the declines were a little more significant in our value added business, compared to commodity business. And obviously we made more margins in our value added business. The final point I’d highlight which is obviously relevant to our Canadian business which we referred to earlier is the impact that currency has had on the Canadian business. So those were all the factors that impacted the second quarter. As I said, a couple of those we believe we’ve taken corrective action on, so that we will see margin improvement in the back half of the year.
George Doumet: Okay, one last one if I may, we’ve seen some increases in the stock in some of the key species that we procure, what are the – what’s the timing expectations there for us to actually to see it translate into lower raw material prices? Thanks.
Keith Decker: George, its Keith. I would say that if you think about the timelines on most of these, some of those prices are starting to be realized on the buy side, but I would anticipate as it was consistent with some of our conversations earlier in the year that we would start to see those roll through our P&L starting in the end of the fourth quarter and then being fully realized in 2016. And you know to your point this is on a number of key species to include cod, haddock, salmon, shrimp, and a number of other species. So raw material prices are moving in the right direction.
George Doumet: Okay, that’s it for me thanks.
Operator: The next question is from Sabahat Khan from RBC.
Sabahat Khan: Thanks. May be if you could talk a little bit about the supply chain optimization program and what were some of the delays that you had and where you kind of stand on, when do you expect to see some of the savings start to flow through? I guess is it later into this year, I think, you mentioned?
Keith Decker: So, if you recall in the first quarter and coming out of that into the second quarter, these were – a lot of these supply chain optimization activities are back loaded and the full running rates really aren’t going to be achieved until we get into 2016. But they will start to materialize more so in 2015 in the last couple of quarters. Volume does play a factor in that and from our perspective the volume declines in the second quarter did slow down some of our realization of that. However, you know, we do anticipate that we will start to realize the benefit of that, provided that the volumes you know will come back in the second half of the year.
Sabahat Khan: All right, great. And just in terms of the pricing that you took earlier this year. I guess would you say that I guess are you responding to the lower volumes by kind of changing your prices or how do you kind of see that playing out for the rest of the year, in terms of kind of the pricing impact and the volume impact?
Keith Decker: I think there is a couple of an opportunity here. One is more effective promotions. We ran some post-lent promotions they didn’t return the anticipated sales that we had hoped for. So I think that there is a more focused approach on executing effective promotions. So I would say that what we have done and what we saw as we got into June was that we increased our promotional support both the depth and the frequency and volumes coming back as a response to that. So I would anticipate that as we move into the back half of the year, the focus is clearly on sales volume as an organization and to the extent that we can use more effective promotions and sales execution to drive those promotions, I think, that we’ll see some results out of that.
Sabahat Khan: All right, great. And are you able to share how much sales of Atlantic Trading contributed during the quarter?
Keith Decker: We haven’t identified that number specifically. It did have a positive contribution obviously but was offset by declines in the – by declines in the underlying base businesses.
Sabahat Khan: Okay, thank you.
Operator: The next question is from Marc Robinson from Cormark Securities.
Marc Robinson: Thanks, good afternoon. Can you provide, which species in particular have the biggest pricing headwinds in the quarter?
Paul Jewer: Headwinds?
Marc Robinson: Pricing input cost pressure…
Paul Jewer: Well, it’s really, frankly the prices that we have passed all through last year and into the first half of the year. So I wouldn’t say it just increases in the second quarter and in the Canadian business Haddock was certainly the one that was the most significant and obviously had an impact on volume. And in Canadian retail and U.S. retail, obviously we have the benefit of market share data to know how much is driven by price and the fact that we saw category to find that made up the bulk of our declines, rather than us seeing a disproportionately different outcome than the category overall helped us with the conclusion that, it was primarily price. But Haddock was certainly a significant species in the back half of last year. As Keith said, we’re expecting an improvement in that pricing environment as we move to the back half of the current year, but it was – that was also have been the case in scallops, as well through last year.
Keith Decker: And we fast price starting the first of the year in January and then with subsequent price increase rolling through right as when it was finishing which was going into the second quarter and that last price increase went through into the Canadian retain market and we did see some impact on volumes through the gross price increases.
Marc Robinson: Okay and recognizing that sort of supply chain savings have been pushed out a little bit and for sure are back-end weighted, have you realized anything thus far or any of the sort of LTM results? Did any of that – does any of that reflect any of the supply chain savings as yet?
Keith Decker: There are a little bit recognized in Q1 and a nominal amount, I would say, in Q2. What we do – what we have seen Marc is benefits associated with the specific initiatives, whether they are labor improvement, or yield improvements, but they get offset by the absorption challenges when you have the volume decline that we did in the second quarter.
Marc Robinson: Okay, and then finally, you know just stepping back a little bit there has been, I think, the numbers 13 sequential quarterly declines in U.S. volumes and going back to the Icelandic Group acquisition, Keith can you provide any color on what exactly is going on in that market? And the prospects of any near term improvement in U.S. foodservice volumes?
Keith Decker: I would say that, you know, if you think about the U.S. business from the terms that it is a 70% or 75% U.S. foodservice related is the portion of the business and then you think about the fact that you had the – going back to 2009, the major reset in the U.S. marketplace when it came to foodservice consumption and foodservice dining trends. You know we’ve been fighting those headwinds now for a few years. I will say that the industry itself is looking at better shape this year, particularly going into the later part of this year. The key for us is can we shift our customer base more effectively into the operators which are doing well. So if you think about our customer base and you look at a couple of our large customers, QSR accounts, you can look at the media and you can see their results, one of the largest in the world would report results that are, quite frankly, kind of disappointing. And so we see that in our results with their promotions or lack thereof. That being said, I think, that the opportunity for us is to continue to focus on innovative products, which as I have talked about we’re going to start bringing some products in the later part of this year into the marketplace which will address some of those convenience and fast-casual segments, and I think that there is some, some opportunity to grow from there. But at this point, it’s really around can we start to take advantage of the prices decrease that are going to be coming into the market and drive better price points, which ultimately should have better consumption behind that.
Marc Robinson: Okay, thank you.
Operator: [Operator Instructions] The next question is from Bob Gibson from Octagon.
Bob Gibson: Good afternoon everybody.
Keith Decker: Hi, good afternoon, Bob.
Bob Gibson: Let’s start with integration costs. They weren’t much this quarter, can you give us some color on the second half?
Keith Decker: Well, there will be – yes, they won’t be much in the second half either obviously we have completed the integration of American Pride, so there are no cost left with that. The other price there would be costs related to the supply chain optimization initiative and those are winding down now as we complete the activities on the plant optimization side.
Bob Gibson: Okay, cool. Can I get a little color on what the competition is doing as far as pricing and did they see a similar decline in volume over the quarter?
Keith Decker: I can speak specifically to retail because we have obviously the market data from the – both Canada and the U.S. and on the retail side of the business, U.S. retail unprocessed and Canadian retail, both of them were down commensurate level, approaching double-digit numbers for the entire category both in Canada and the U.S.. So I would say that the other major seafood competitors in the U.S. market in retail were down across the board in 2000, excuse me, in the second quarter. And in Canada, we’re the industry leader with the category that’s down since [ph] our levels were. And on foodservice, we don’t really have a good indicator of what’s going on in the foodservices market from that perspective because there’s really no benchmark at this point that would allow us to see that.
Bob Gibson: Okay, great. And sorry just a little color on the taxes, could you provide it for me anyway walk – walk me through what happened and how come you get the bump up?
Keith Decker: Yes, sure. As you know we have some tax planning structures in place related to the fact that we have operations in both Canada and the U.S. They provide a beneficial overall tax rate to us that’s lower than the statutory rates in the U.S. environment in particular. And as income is lower in the U.S. that that benefit – the tax rate ends up being even more significantly lower than the statutory rate than as – than as anticipated. So you should expect as we improve our income in the U.S. to see that tax rate start to decline back up, but not reach the statutory tax rates that are in place.
Bob Gibson: Perfect, thank you guys.
Keith Decker: Thank you.
Operator: There are no further questions at this time. I will turn the call back to the presenters.
Keith Decker: Thank you very much everyone for joining us today. And we will look forward to updating you on our results for the third quarter on our conference call in November.